Operator: Welcome to the third quarter2007 Alexander & Baldwin earnings conference call. I’d now like to turn thecall over to Mr. Kevin Halloran, Vice President of Corporate Development andInvestor Relations.
Kevin L. Halloran: Before we commence, Iwill note that statements in this call and presentation that set forthexpectations or predictions are based on facts and situations that are known tous as of today, October 26, 2007. Actual results may differ materially due torisks and uncertainties such as those described on pages 16-22 of the Form 10-Kin our 2006 Annual Report and our other subsequent filings with the SEC.Statements in this call and presentation are not guarantees of futureperformance. I would also note thatslides from this presentation are available for download at our website,www.alexanderbaldwin.com. You will see an icon in the upper left and right handcorners of the home page that will direct you to the slides. Now to the call. Joiningme today from Shanghai are Allen Doane, Chairman and Chief Executive Officer,and Chris Benjamin, Senior Vice President, Chief Financial Officer, andTreasurer; also participating in the call, also from Shanghai and joining usfor the question-and-answer portion, are Jim Andrasick, Chief Executive Officerof Matson Navigation and Stan Kuriyama, Chief Executive Officer of A&BProperties. Slide 3 provides anagenda for our presentation after which we’ll take your questions. We’ll start ourpresentation with Allen, who will provide insight into the performance for thequarter and will also provide a high-level outlook for the balance of 2007. With that, I’ll turn itover to Allen.
Allen Doane: Thank you, Kevin. Goodmorning everyone. Before talking about the financial results for the quarter,let me point out some noteworthy performance and trends for the quarter. I’mvery pleased to note that we posted a very strong third quarter, with netincome exceeding $49 million. It’s an impressive figure, particularly givensome of the macro-headwinds that we’ve experienced recently; our strong outcomefor this quarter was propelled by continued strength in shipping and a seriesof property sales in the quarter - more on this later on when we go through theindividual segment reports. I’ll also note that thecredit and financial markets have been volatile over the last three months, andamid this turmoil, we made repurchases of our stock at an average price of justunder $49 per share. We feel good about these repurchases. On the operational front,our Matson China service continues to fire on all cylinders. We are runningfull as to be expected during the peak season and we are seeking the benefitand seeing the benefit of rate increases that we enacted earlier in the year.At MIL, we are being challenged by the current volume environment in theindustry. We spoke last quarterabout anticipated sales of several of our income properties and I will notethat we closed three of these properties during the quarter, demonstrating the strengthof the commercial market in Hawaii. Our lease portfolio is performing at a very highlevel. With that, let me providea summary of the quarterly results. We posted operating profit of $91.5million. Matson Navigation once again led the way, a reflection of itsinnovative China service and stability in the Hawaii trade. MIL posted a good gain, while our leasedincome portfolio posted essentially flat year-over-year results. You will notethe exceptional results from our property sales, which includes not only thesale of three income properties but also our earnings from joint ventures. And finally, ourAgribusiness segment posted a loss of $3 million, which is directlyattributable to a reduction in our sugar production forecast for the year. On a year-to-date basis,our earnings per share are up 13% at $2.46 versus $2.18 for an equivalentperiod in 2006. Year-to-date performance puts us on a trajectory to close theyear well ahead of 2006. Turning to Slide 7, Iwill now make a few brief comments on our full-year outlook. You will note thatwe expect double-digit earnings growth in our two core businesses, well aboveour long-term targets. As we look out to year-end, we are pleased by theexpected results. This year has had its challenges and we expect that macro-headwindsthat we face today are likely to continue as we enter 2008. We will have moreon 2008 on a webcast that we are planning for late November. With those summarycomments complete, I will describe the quarterly operating performance of eachof the units. Let me start with Matson Navigation, which posted another excellentquarter amid a challenging volume environment in Hawaii. Matson’s favorable performance reflects thestrength of our China service. We are sailing nearly full from China and are seeing the benefits of rate increasesthat emerged from our recent contracting season, along with improvements in ourcargo mix. In Hawaii, while our container volume was down 4%,favorable yields provided support and we were able to respond to volumesoftness by continuing to press hard on our operating efficiencies to stabilizemargins. We did see a surge inauto volume, which reflects rental fleet replacements. And finally, our mix andyield were favorable in Guam. The coming military presence there is stillahead of us, but we did see an increase in volume of 9% even in this earlystage. For the balance of theyear, we will continue to focus on implementation of cost containmentinitiatives to offset the flat volume forecast for the Hawaii markets, and we will seek to extend the China peak season into December. As we mentionedbefore, contractual wage increases in our shoreside and sea marine operations,coupled with more limited fleet deployment flexibility, should return marginsto a more historic 10% range in the fourth quarter. We will also see less liftfrom our China service for the year-over-year comparison in the fourthquarter because we were sailing full for the last quarter of 2006. The logistics segmentproduced another favorable quarter amid an increasingly challenging volumeenvironment in the intermodal sectors. MIL boosted its gross margins, thepositive year-over-year variance resulting principally from a reduction ofcertain accruals, such as a lower provision for bad debts, and from anexpansion of gross margin in key highway segments. We are now forecastingmodest year-over-year growth for MIL based on our near-term outlook. We doexpect challenges in the fourth quarter, which we expect will result in anunfavorable comparison to 2006. The real estate leasingsegment produced another solid quarter of earnings based on high portfoliooccupancies; 97% and 98% respectively for our US Mainland and Hawaii properties. The $12.2 million in operating profitwas off slightly from the same period in 2006, principally because in the thirdof quarter 2006, we had a favorable business interruption insurance gain thatpositively impacted those results. Looking out, we expectcontinued market strength; however, given our recent portfolio sales, modestnear-term revenue and margin compression is likely. Further, we’ve had positivenon-recurring items that occurred in the fourth quarter of 2006; as such, afourth quarter of 2007 comparison is likely to be unfavorable. As we had mentioned,property sales were driven by three income portfolio dispositions in thequarter, which drove most of the variance from the year-earlier period. We alsohad additional sales from our joint venture projects. These results demonstratethe continuing strength of Hawaii’scommercial markets. We continue tobenefit from binding contracts in place at some of our key residentialprojects. Additionally, we’ve had no material subprime exposure at theseprojects. We have referenced ourincome portfolio sales a few times in the call. . Slide 16 provides detail forthe two transactions involving the three properties. Two of the three property salesclosed late in the third quarter and both offered compelling deal metrics.These sales are a good example of two core strategies: first, we solidlybelieve we have optimized value creation; and second, as you will see on Slide17, we reinvested proceeds through tax advantage1031 exchanges to grow our commercial portfolio. Yesterday, we enteredinto a binding agreement to purchase an institutional grade seven buildingbusiness park in Dallas, Texasfor $102 million. The park encompasses 1.3 million square feet and includes anadditional 28 acres of developable land. We expect to close thistransaction in short order. The project is ideally located next to the Dallas Fort Worth Airport, and we’ve got a tenant roster of blue-chipcompanies, many in the logistics area. We own or have previously ownedinstitutional property in Dallas,including an industrial retail and office building, for a number of years. Welike the market; we like the location; and particularly, we like the propertybecause we believe it’s very logistics-friendly. If you may recall in ourrecent strategic plan webcast presentation, we emphasized both logistics at MILand logistics-friendly real estate. And while we were pleasedby the third quarter results, sales are inherently episodic. We feel good aboutthe prospects of more property sales and are encouraged by the considerableconstruction and sales progress we are making at some of our key developmentprojects. At Keola La’i, we topped off at the 43rd floor early in the quarterand are preparing for delivery of units of the binding contract in the firstand the second quarter of 2008. We are now at the 90% binding level. At Waileaon Maui, we are well underway in the construction of newpipeline projects as we look to close out our delivery on the very successfulKai Malu joint venture over the course of the next six months. On Kauai, sales at Kukui’ula are slowing, but we expect that as we build outthe amenities over the next 18 to 24 months, sales velocity will increase. Andfinally, at Port Allen on Kauai, we have closed and delivered the first of ourprimary housing index there. We were franklydisappointed by the results from our Agribusiness segment. We lowered ourproduction forecast for the year which resulted in an over $3 million loss forthe quarter. In addition, the dry weather that plagued our production effortsearly in the quarter also meant a decline in power sales. Despite the productionchallenges, we believe we will finish the year in the black given the strengthof our first-half performance. While regrettable, these production adjustmentsare part and parcel of the cyclical nature of large-scale farm production. Thatsaid, our Agribusiness unit provides support for our operations through Hawaii, including those at both Matson Navigation andour real estate business. I will now turn the callover to Chris Benjamin who will speak about our financial condition and otherpertinent matters.
Christopher J. Benjamin: Thanks Allen. I have justa few slides, and I’ll focus first on cash flows, then on capital expenditures,and finally, our recent share repurchases. On the cash flow statement, ouroperating cash flows were strong and approximated last year’s, with higherearnings modestly offset by the fact that our Keola La’i project is treated asreal estate held for sale and therefore, CapEx on that project reduces operatingcash flows. The largest year-over-year changes on the cash flow statementrelate to the fact that last year, we completed a four-year vessel replacementinitiative in the third quarter. You will see the much higher CapEx and muchlower proceeds from the capital construction fund in 2006 as compared to 2007. For those of you who arenew to A&B, we make pre-tax contributions to the capital construction fundand then purchase vessels with these funds, effectively taking immediate taxdepreciation for the assets and greatly enhancing our returns. These vesselsalso have improved our operating performance and facilitated mass inventoriesof the China trade. Other cash flow items ofnote included a reduction in proceeds from disposal of property and sale ofinvestments, which includes the 2006 return of our Hokua joint venture capital.Also, while we’ve undertaken share repurchases in each of the past two years,our 2006 year-to-date total repurchases were higher than our 2007 year-to-daterepurchases at the end of September. Moving now to the CapExslide, through the first three quarters of 2007, we’ve made only about one-halfof our intended full year capital expenditures; however, with the pendingpurchase of the Heritage BusinessPark and other planned capital spending for the fourth quarter, we expect toend the year in line with our original estimate. I’ll also point out theline item for buyers’ deposits at Keola La’i. One of the several benefits ofour disciplined approach to real estate investments is the strength of ourunderwriting, and in particular, our practice of securing a majority of thebinding contracts and deposits before commencing construction. These buyerdeposits are an important source of construction financing. Now, on the cashflow statement, buyers’ deposits partially offset the capital expendituresrequired for our real estate development held-for-sale, and in turn improvedour investment returns. Moving now to my last andfavorite slide, I’d like to elaborate on our recent share repurchase activity.Market volatility, as Allen indicated, can create opportunities. We have spokenat length in the past about our desire and willingness to execute sharerepurchases. During the quarter, we purchased over $12 million worth of ourcompany shares, at an average price of less than $49. We have a track record ofwell-timed repurchase activity. You’ll see that we’ve entered the marketplacewhen we believed that the time and the price were right, always treatingrepurchases as an investment decision that requires the same rigorousdiscipline we apply to all of our capital allocation decisions. We have anongoing appetite for repurchases, and a current authorization for an additional1.7 million shares, should opportunities present themselves again in thefuture. On a final note, I shouldmention that I’ll be representing the company at the upcoming Stephens FallInvestment Conference in New York City. We are scheduled to present on November 15th, and you should see anotice with the details of that event soon. We will be webcasting that event. With that, I’d like toturn the call over to Kevin, who will take us through an economic and marketoutlook.
Kevin L. Halloran: Thank you, Chris. As youwill note on Slide 26, the Hawaiieconomy is stable, despite a modest adverse impact of a reduction in visitorarrival counts. We’ve posted the three most recent annual forecasts for keymetrics in the health of the Hawaii economy to demonstrate this stability and also todescribe the excellent underlying fundamentals of this economy. Unemployment isat an exceptionally low rate and there has been a measurable uptick in realpersonal income growth in the most recent forecast. When we look at thecommercial real estate environment, we are very healthy. Honolulu has the highest industrial rent rates in thenation, and the annual rent of over $14 described in this slide is almost threetimes the national average. For a little bit of perspective, the next highestannual rate is in San Francisco atjust over $10 per square foot. Many of you may have seen the recent New YorkTimes coverage about the exploding retail presence here in Hawaii. According to that article, beside themarket-leading low vacancy rate for retail space, retail property owners havebeen able to ratchet rents by 41% over the past four years. The office marketis also robust; we are encouraged about our prospects here in both the shortand long-term. And while the commercialsectors are experiencing record growth, the residential markets have veryclearly reached a point of stasis. We are pleased to see no price erosion insingle-family home re-sales. Although sales velocity has slowed, we believethat the limited supply of primary housing in Hawaii provides strong pricing support. While Hawaii has seen an increase in foreclosures in the mostrecent reporting period, we still have one of the lowest rates in the nationand do not believe that significant subprime exposure exists. The story isessentially the same for condominium re-sales - a mixed market depending onindividual properties throughout the islands. That said, slide 29 clearly showsthe stability of this asset class over the past 30 months on Oahu, where the majority of these sales occur. This stability underscoresthe supply constraint that characterizes most real estate activity in Hawaii. With those remarks inhand, I would like to turn the call back to Allen for his closing commentaryand remarks.
Allen Doane: This will be brief. Justwrapping up the formal portion of our presentation, let me note once again thatwe will be scheduling another webcast, probably in late November, to review thecompany’s business outlook for 2008. We do welcome yourquestions at this time.
Operator: Your first question comesfrom the line of Jonathan Habermann - Goldman Sachs.
Jonathan Habermann - Goldman Sachs & Co.: First question concerningthe real estate sales, could you just talk a bit about the reasons for selling?Is this simply there is no more value or you fully realized the value there?And secondly, why Dallas? I know it looks like an interesting opportunity,but can you talk about the yields you are forecasting and how much incrementaldollars you might invest for potential future development there?
Allen Doane: Stan, why did we sell andwhy did we buy?
StanleyKuriyama: This is just acontinuation really of our core strategy. So, in the cases of these threeproperties, they really were unsolicited offers. But the properties, in thecase of the two shopping centers, were fully mature. We had maximized value.Prices that came in for these properties were at full value, so it was a goodtime to sell. And as far as Dallas is concerned, we’ve been in the market for anumber of months looking for replacement properties. We really liked this Dallas property. It’s in a great location - it’simmediately adjacent to the Dallas Fort Worth Airport. We like the logistics angle of this purchase. Ithink certainly on a long-term basis, this can complement our logisticsbusiness at Matson. We bought this property at a low-6 cap rate and theproperties we sold were a sub-6 cap rate. We got a spread there and of course,we are using the 1031 benefit to enhance our returns from that Dallas investment.
Jonathan Habermann - Goldman Sachs: What sort of growth doyou anticipate from that property?
StanleyKuriyama: Market rates of growth;it’s fully occupied. Rents are at or slightly below market, but we don’tanticipate any unusual growth there, but we do expect that it will growconsistent with the market.
Jonathan Habermann - Goldman Sachs: In terms of justanticipated property sales heading into next year, do you anticipate having afew more of these types of sales?
StanleyKuriyama: Yes, we do. We areevaluating various sales prospects now and we will continue to have these salesthroughout the year.
Allen Doane: I will just emphasizethat this is a pretty big whopper of a quarter here, both in terms of a saleand some reinvestments, but it is a long-term strategy for the company that we’vereplicated year-after-year. We think we are going to do the same thing in ‘08.
Jonathan Habermann - Goldman Sachs: I have just one quickquestion for Jim, switching over to Matson. For the cargo mix going into Hawaii, have you seen that change materially over thelast six months to a year, and given your outlook for the Hawaiian economy,just where do you see volumes going in the future?
James Andrasick: Yes, we have seen achange, and predictably, it’s been in the building products segment. We’ve alsohad a rundown in auto volumes. I think the third quarter of this year, as youcan see from the stats, is a little unusual because we had a surge, butyear-to-date, we are down in autos. I think those two areas are the principalchanges. As far as the outlook for the near-term and perhaps the next 12months, it goes in line with a fairly stable Hawaii economy. And consistent with Kevin’s review ofthat economy, I do not foresee nor do we project any significant mix shiftsfrom what we’ve seen during the last six months.
Operator: Your next question comesfrom Jonathan Chappell - JP Morgan.
Jonathan Chappell - JP Morgan Equity Research: Follow-up to a commentthat Allen made in response to the last question about a whopper of a thirdquarter, you obviously gave us some insight on the last conference call, someforewarning that there would be some income-producing sales in the second-halfof the year. I noticed that most of these sales were done late third quarter. Iknow you don’t give guidance, but as you look at the fourth quarter, were thesethree that were done at the end of the third quarter supposed to be the second-halfallotment? Or do you think there is still the potential to get some sales donebefore year-end?
Allen Doane: Yes, the one I’m talkingabout, the whopper, was the single sale that we did in Honolulu. That is a pretty extraordinary one for us. Theother two that we did on Maui that Stan referenced were sort of more in thenormal course. And by the way, one of those was not a fee-owned property, itwas leasehold. You can get a sense of where we are going based on slide 7 interms of our full-year outlook, and those metrics would suggest that we do havesome sales planned for the fourth quarter.
Jonathan Chappell - JP Morgan Equity Research: But not a whopper?
Allen Doane: It’s not going to be awhopper. We are not at the stage yet where we’re earning $50 million a quarter.
Jonathan Chappell - JP Morgan Equity Research: Just a second questionregarding the logistics business: clearly it has been a focused growth, butsome of the comments in the press release and in your call offered temperedexpectations, at least for the near-term. Is this making you reassess thestrategy in the near-term, or does the potential near-term weakness inlogistics provide more opportunities in your opinion to accelerate the growthin that market?
Allen Doane: We’ve got some plateauinghere after a period of steep growth in the business. That’s not totallyunexpected and it’s partially a result of economic conditions and justpartially a result of having performed very well and gotten ourselves to apretty high level of performance at MIL. But the answer to the question is, weare more enthusiastic than we’ve ever been, and I think we were trying toconvey that when we gave the strategic overview of how we saw the future. Youcan expect that we are going to do our best to begin to demonstrate a plan inplace to continue to grow the business in logistics. Times like this in someways are better for investment; they may not help the P&L that much, butthey are certainly great for making investments. They are going to help you inthe longer run.
Operator: Your next question comesfrom Christopher Haley – Wachovia Securities.
Christopher Haley - Wachovia Securities: Just following up onJonathan’s question in terms of MIL, is it solely the slowing economicconditions that are causing the lower outlook for the fourth quarter? It justseems that if you are expecting modest growth that would probably be one of theweaker quarters that you’ve had over the past couple of years. While oureconomic conditions are slowing, it seems like it’s a moderate pace of slowingrather than something drastic?
James Andrasick: Volumes definitely haveslowed throughout the industry, again, kind of an uneven mix of products andservices, and we’re victims of that slowdown. But it certainly hasn’t droppedoff the cliff; we did not intend to suggest that it was. This moderation iswhat we are looking to in the near-term that will affect the earningsperformance of that particular unit, absent an acquisition or other corporatedevelopment activity.
Christopher Haley - Wachovia Securities: In terms of the Matson andocean transportation, I think last quarter, it was stated that in the second-halfof the year, there would be some dry-docking that would impact margins a littlebit. The margins were pretty high in the third quarter. Is that all expected tohit now within the fourth quarter, given the margin outlook of 10% that Allentalked about?
James Andrasick: That’s certainly oneelement of it. We’ve had the heaviest vessel dry-dock schedule in probably thelast ten or more years this calendar year, and it did have a certain impactduring the first nine months. And I would say, yes, the fourth quarter may seea negative impact before we get every ship back into its normal deployment. Iwould also add that we do run a seasonal business here and we’ve added to thatseasonality with the China service, because there is a peak period, ofcourse, and it starts to fall off in late November-December. A combination offactors will likely moderate the margin performance going into the fourthquarter.
Christopher Haley - Wachovia Securities: Stan, Kevin talked alittle bit about the upside for rents on Hawaii. I am just wondering what the rental rate growthprofile should look like for the commercial portfolio over the next one-to-twoyears, both for the Hawaiian portfolio and Mainland?
StanleyKuriyama: I would say that the Hawaii portfolio is probably going to have a greatergrowth than on the Mainland. I think retail rents are moving up nicely. Officerents probably will stabilize. We’ve had a nice uptick in office rents. Officerents will probably stabilize a bit in Hawaii. Industrial rents will continue to go up. In Hawaii, you could easily look at a 3% to 6% type ofrental rate growth. Mainland, our properties there are fully leased, they areat-market rents. I wouldn’t anticipate anything above normal market growthrates on the Mainland.
Christopher Haley - Wachovia Securities: Do you have an estimateof - if you marked all your rents up to market - how much of a lift that wouldbe? It sounds like on the Mainland, you are roughly in line with spot marketrates; on Hawaii, is that the case as well? Is the growth going tobe driven by continued growth in rental rates or is there a markup that youcould get for new leases, just marking them up to spot?
StanleyKuriyama: No, we don’t do that. Wedon’t engage in that type of exercise.
Christopher Haley - Wachovia Securities: Lastly, I appreciate thesales of the commercial properties and the big income recognition that you get,do you calculate what the economic return on that is, if the properties aren’tfully depreciated at their original cost basis, so we can get a sense of kindof what the IRR return is for some of those properties?
StanleyKuriyama: Yeah, actually we do anIRR return on every property, both before we acquire it, when we sell it, andwhen we consider selling it.
Christopher Haley - Wachovia Securities: And can you offer somedetails on what some of the returns were for transactions in the most recentquarter?
Allen Doane: No, but they wereimpressive.
StanleyKuriyama: One of the two Maui properties that we sold wasleasehold, but in the aggregate, the sales cap rate there was a sub-6 cap rate.That was really an excellent price for us.
Christopher Haley - Wachovia Securities: You guys talked about thestrengths in the commercial market in Hawaii. I know Allen, you’ve said that in terms ofallocating additional investments, you would prefer to do investments in Hawaii first and then probably some industrialproperties on the Mainland. Are you seeing any let-up in terms of buyers forcommercial property in Hawaiior is it still a pretty tough environment there?
Allen Doane: I’d say , on thecommercial side, it’s still a pretty tough environment. The residential marketis no big surprise because it’s starting to be a little bit better priced. Ithink risk is starting to get priced into the residential side; in many cases,that’s been done. There is nothing atypical on the commercial side in Hawaii other than the fact that it’s just higher. Officevalues are not higher in Hawaiithan they are in many large cities, but retail and industrial land values tothe aggregate value of the investment, the land value is so high, that’s whereyou see the huge disparity because of land values in Hawaii. But there is really nothing that atypical. No,we don’t see real cracks on the commercial side or in any area frankly.
Operator: We have no more questionsin queue. I would now like to turn the call over to Mr. Allen for closingremarks.
Allen Doane: We were in Shanghai two years ago at this time, and I won’t say wewere quivering in our boots, but we were slightly anxious about this hugestrategy of moving into China. Two years later, who would be thinking that our China business would be as strong as it is and thatit’s been such a great growth story. Our China business has enhanced the brand name and thereputation of Matson at the same time that it has been a good investment. We’rereally pleased to be in China and we hope that there will be other great growthstories that we’ll able to tell you about Matson, our real estate business inmany places including China, in the future.